Operator: Good day, everyone, and welcome to the Verisk Analytics Second Quarter 2013 Earnings Results Conference Call. This call is being recorded. At this time, for opening remarks and introduction, I would like to turn the call over to Verisk's Senior Vice President, Treasurer, Corporate Finance and Head of Investor Relations, Ms. Eva Huston. Ms. Houston, please go ahead.
Eva F. Huston: Thank you, April, and good morning to everyone. We appreciate you joining us today for a discussion of our second quarter 2013 financial results. With me on the call this morning are Scott Stephenson, President and Chief Executive Officer; and Mark Anquillare, Chief Financial Officer. Following comments by Scott and Mark highlighting some key points about our strategic priorities and financial performance, we will open up the call for your questions. The earnings release referenced on this call, as well as the associated 10-Q, can be found in the Investors section of our website, verisk.com. The earnings release has also been attached to an 8-K that we have furnished to the SEC. A replay of this call will be available for 30 days until August 30, 2013 on our website and by dial-in. Finally, as set forth in more detail in today's earnings release, I will remind everyone that today's call may include forward-looking statements about Verisk's future performance. Actual performance could differ materially from what is suggested by our comments today. Information about the factors that could affect the performance is summarized at the end of our press release, as well as contained in our recent SEC filings. And now, I will turn the call over to Scott Stephenson.
Scott G. Stephenson: Thank you, Eva, and good morning, everyone. We have a lot of exciting initiatives underway, and we are energetically pursuing our data analytic agenda. Before I get to the future, I'd like to talk a little bit about our results in the quarter, with which I'm pleased. In second quarter 2013, we delivered strong overall performance with total revenue growth of approximately 13% and diluted adjusted EPS growth of 17%. Our consolidated organic revenue growth in the second quarter was approximately 8%. Organic revenue growth was 9.5% in the quarter, excluding our mortgage analytics business with its macro challenges. Profitability was strong, with an EBITDA margin of over 44% in the quarter even while we continue to invest in innovations as discussed previously. Year-to-date free cash flow growth, adjusted for last year's voluntary pension payment and the timing of a tax benefit in the first quarter of this year, was about 8% as we continue to generate strong operating cash flow, while we also elected to invest some of it into capital expenditures related to our investment initiatives. We are focused on delivering value to our shareholders, and we remain disciplined in our use of capital. We also remain active in looking at M&A. There have been a few sizable assets on the market recently, which you no doubt are aware of, but none of these met our criteria. So we declined to pursue them. We continue to focus on assets with a strategic fit, a strong financial model and an appropriate valuation in relation to future growth prospects. In the quarter, we returned capital to our shareholders through repurchases of $116 million. We also refreshed our buyback authorization in the quarter by $300 million. We will continue to use our authorization consistent with our capital allocation strategy, as we've previously outlined. As we look to the future, we need to continue to be thought leaders in analytics. As we've discussed, we are making significant investments in certain areas this year, including Touchstone, which is our catastrophe modeling platform; the unified platform in healthcare; aerial imagery; and supply chain analytics. All of these are going well and are in various stages of development and rollout. The first 2, Touchstone and the unified platform, are active with our clients. We're getting a great response on Touchstone, and we're seeing incremental value in our contracts with customers who have moved to the new platform. The unified platform in healthcare is also leading us to better results for customers and payment accuracy, where we have completed that phase of implementation. Aerial imagery is a wonderful initiative. It involves gathering images, but much more importantly, using those images to generate data that can be analyzed via computer vision. Initial customer feedback from pilots and evaluations have been very positive. And we're very excited about the imagery initiative, and we may choose to pull some of the intended 2014 investment forward into the second half of 2013 and the 2015 investments into next year. In addition, the supply chain platform is progressing well with very good conversations with customers on the functionality, as they're looking for it. We also are putting a lot of energy in deleveraging the value of our data and analytics across our enterprise. Everyday, we're discovering new ways in which different parts of our organization can collaborate for the benefit of our customers. We're able to do this effectively with our current leadership, and I've recently asked some of our leaders to bridge to added responsibilities that logically relate to their current responsibilities. For example, we're looking to do more work related to climate science across our AIR and AER businesses. We're also increasing our efforts to drive growth in Risk Assessment across the various categories, and we're adding to our leadership teams in the supply chain and corporate marketing areas. In this way, we have the best chance of remaining in touch with our markets and our customers, while expanding our collective ability to see and pursue our joint opportunities. Leadership is a key principle of the Verisk way, which you've heard me talk about before; and this is a natural way to ensure the development of our people. So with that, let me turn it over to Mark to cover our financial results in more detail.
Mark V. Anquillare: Thank you, Scott. We're pleased with our performance in the second quarter, in which we delivered both revenue growth and increased profitability while also investing for the future. In the second quarter, total revenue grew 12.9%, and organic revenue grew 7.8%. The results reflect the continued excellent revenue performance in healthcare, accelerating revenue growth in Insurance Solutions and another strong quarter contribution of -- from Argus. Mortgage revenue growth remained a headwind to overall growth. Excluding our historical mortgage business, revenue growth organically grew at 9.5%. For the second quarter, our Decision Analytics segment delivered 16.6% revenue growth, of which 8.3% was organic, excluding the acquisitions of Argus and Aspect. Beginning in the quarter, MediConnect is a part of the organic revenue growth in the healthcare category. Within Decision Analytics, our insurance category grew 9.5% in the second quarter and 8.9% organically, excluding the acquisition of Aspect. We had discussed our expectation of accelerating growth in the combined insurance this year and are pleased to see results headed in that direction with 7.9% organic revenue growth, including Risk Assessment. Our underwriting solutions delivered strong growth, and we saw a continued double-digit growth in our catastrophe modeling solutions in the quarter. Our claims solutions also contributed to the growth. In financial services, which includes both Argus and the mortgage analytics business, revenue grew 43.1% in the quarter. Argus is an excellent business, performing very well since the acquisition in the third quarter of 2012. You will recall that Argus is a very ISO-like business, serving as a trusted, neutral intermediary using a contributory data model to help create analytics, which are deeply embedded in our customers' processes. The growth outlook in Argus remains positive, including through international expansion and partnering opportunities, as well as additional penetration of existing customers. We have seen growth of over 20% year-to-date at Argus on a pro forma basis and feel good about delivering or exceeding our estimate of mid-teens growth in 2013. The mortgage portion of financial services revenue declined 8.9% in the second quarter. Our origination revenue continues to grow, while our overall mortgage revenue declined due to the ongoing normalization of the forensic piece of the business. We're glad to see the decline in forensics slow this quarter. In addition, while early stage, we are seeing strong growth in some product sets that are an extension of the type of work we do in the forensic side, but aimed at the underwriting market. As we've said previously, we continue to believe the full year 2013 results may be similar to the revenue decline of about 11% we saw in 2012. Healthcare continued to deliver excellent revenue growth of 21.3% for the second quarter, all organic. We were especially pleased with the growth in our RQI division, which reflects the combination of our Revenue Integrity and HEDIS Reporting businesses, as well as MediConnect, which is now organic. We continue to find traction with our solutions in the market. Our sales efforts in the quarter were strong and as we continue to add new customers and expand our relationships with existing customers. In the quarter, of the new contracts we signed, 1/2 were with new customers. We are winning sizable contracts even larger than we have won historically, with important new and existing customers, which we expect will benefit us in 2014 and forward. We continue to be excited about the opportunity in the healthcare space, and we expect growth to remain well above the corporate average rate. As we've noted previously, the growth percentages naturally will be impacted, as we grow off of a larger base. We're coming off of some tough comparisons from the third quarter and fourth quarter of 2012. There has also been some opportunity for us to trade off between near-term pricing for higher, long-term committed volumes. These are all very good customers, where we see these arrangements as win-win for our long-term relationships. To provide you with some additional visibility as you think about your models, we expect full year organic growth in healthcare to be about 20%. And given the current pipeline, we expect growth in 2014 to continue in the same range, even when our businesses has more than doubled in size since 2011. Our specialized markets revenue grew 2.4% in the second quarter. Growth in weather and climate analytics was affected by lower growth in government contracts. We are pleased to see continuing traction in our efforts to repurpose our intellectual property to meet strong demand from our P&C industry customers. Growth in the environmental health and safety solutions was driven by ongoing customer agreements, moderated by lower volumes and some customer implementation projects. We think about AER and 3E as long-term options on the growing use of analytics around climate and supply chain and see them as longer-term elements of our growth strategy. Turning to Risk Assessment. For the second quarter, we reported revenue growth of 7%, indicating the value of -- to our long-standing insurance customers. Our industry-standard insurance programs grew 5% in the quarter, reflecting our 2013 invoices, which were effective January 1. The acceleration from this year's first quarter reflected the one-time revenue in the first quarter of 2012, which we've talked about before. Our property-specific information revenue grew 13.9% in the quarter. This increase was from new sales and higher volumes from certain customers, as they commit to extended long-term contracts, as well as incremental revenue contributions due to the expiration of a revenue sharing agreement with a technology provider in the fourth quarter of 2012. EBITDA for the second quarter was $185.6 million, as outlined in Table 3 of our press release. EBITDA increased 13.3% for the quarter, and our EBITDA margin was 44.1%, even as we invested in our business. Acquisitions did not have any material effect on the consolidated EBITDA margin in the quarter. As we discussed with you last quarter, we have an ESOP in place, which was approaching its final distribution date in December of 2013. In May, we extended the allocation of the remaining unreleased shares through 2016. As a result, we will not incur a non-cash charge, as there is no termination distribution in 2013 in excess of our usual 401(k) match. The DA, or Decision Analytics, margins were 37.2% in the second quarter of 2013 versus 38.3% in the second quarter of 2012. The margin in the quarter reflects investments we have previously outlined. We remain very comfortable with the margin and the modest near-term impact, as we see opportunity to drive faster and sustainable top line growth into the future. In the quarter, our Risk Assessment margins were 56% versus 52.8% in the second quarter of 2012. Our margins were helped in the quarter, partly as a result of higher levels of compensation in 2012 related to stock compensation vested for employees over the age of 62. We told you at the beginning of the year that we expected our 2013 EBITDA margins to be flat to modestly down compared to 2012, and that is still our expectation. We will continue to invest in our business to be prepared to support our important contract wins from the first half of the year, even in advance of the 2014 revenue. Additionally, we have been discussing some of the investment opportunities, including data acquisition for aerial imagery, which flows through our P&L. We expect these investments to help contribute to future top line growth and cash flow, as customer demand is supportive of our initiatives. Based upon the positive customer response, we are considering pulling forward some investments from 2014 into this year and investments from 2015 into the next. The net effect of all of this is that we feel very confident that we'll be able to hit the high end of our 43% to 45% EBITDA margin range in 2013, and we will continue to drive EBITDA and free cash flow growth. We can expect that in 2014 and forward as we continue to invest in new initiatives and accelerate them as appropriate, which will keep our margins in this current range. Our interest expense was $2.3 million in the second quarter versus the respective period in 2012. This increase was due to higher debt balances taken on during 2012 related to our acquisitions. We ended second quarter with total debt of about $1.4 billion and no outstanding revolver borrowings. The debt balance reflects the repayment of -- in the quarter of about $45 million of outstanding long-term private placement debt that matured in April of 2013. Our reported effective tax rate was 36.2% in the quarter. As we've discussed with you previously, we've been actively working on our tax planning strategies, and we're rewarded by the benefits resulting from this effort, again, in the quarter, as well as some small-time, one-time benefits. We now expect the full year tax rate to be between 37% and 38% for the full year 2013. We expect the normalized rate to be about 38% in 2014 and forward. Coming down to the net income line. We focus on adjusted net income, a non-GAAP measure, which we defined in the current period as net income plus acquisition-related amortization expense, less the income tax effect on that amortization. Our adjusted net income increased 17.6% to $94.9 million for the quarter. Adjusted EPS on a fully diluted basis was $0.55 for the quarter, an increase of 17%. The average diluted share count was 172.5 million shares in the quarter. On June 30, 2013, our diluted share count was 171.7 million shares. In the quarter, we purchased 1.9 million shares for $116.1 million. At quarter end, we had about $306.6 million left under our authorization. Our share repurchase program has been successful to date, generating annualized rates of return of over 25%. For 2013, we will continue to anticipate, at a minimum, buying shares to offset dilution. Turning to our balance sheet. As of June 30, our cash and cash equivalents were about $172.6 million. Total debt, both long term and short term, totaled $1.4 billion. As I mentioned before, the debt balance reflects repayment in the quarter of about $45 million of our outstanding long-term private placement debt that matured in April 2013. We have another $100 million in private placement debt maturing in August, which we expect to repay from cash on hand or other debt. Today, our incremental debt capacity is over $900 million and will grow with our EBITDA and free cash flow. Our debt to pro forma EBITDA for June 30 was 1.9x, a little below our steady-state target. As you know, we're willing to temporarily go above our long-term target of 2x debt-to-EBITDA to take advantage of unique opportunities because we feel our free cash flow is strong and allows us to delever quickly. In the first half of 2013, free cash flow, we which we define as cash from operations less capital expenditures, was $182.6 million, an increase of about $33.2 million or 22.2% versus the first half of 2012. Free cash flow year-to-date, adjusted for the timing of excess tax benefits and the prior-year voluntary contribution of -- to our pension was $218.7 million, reflecting growth of 7.8% compared to the first half of 2012. Our capital expenditures were 7.8% of revenue in the first half of 2013, consistent with the incremental investments we discussed last quarter. Free cash flow represented 50% of EBITDA in the first half of 2013. Adjusted for the timing of items we mentioned previously, free cash flow represented 59.9% of EBITDA. As we think about capital spending for 2013, we are still expecting $115 million for the full year, including the $20 million of investment initiative spending. As you think about your models for the full year 2013, we anticipate amortization of intangibles of about $64 million, fixed asset depreciation and amortization of about $74 million and now a tax rate between 37% and 38%. We aim to keep share counts flat through our repurchase program. And at our current debt balances, our current quarterly interest expense is $19 million. Overall, our business is performing very well. We have a nice mix of growth from multiple verticals, and we continue to invest for the future. With that, I'll ask the operator to open the line for questions.
Operator: [Operator Instructions] And your first question comes from the line of Manav Patnaik with Barclays.
Manav Patnaik - Barclays Capital, Research Division: My first question was just on the comments you made on the aerial imagery investments, pulling that forward. Is there going to be any -- I guess, maybe just a little more color on what those planned investments were that you're pulling forward? And would there be any associated revenue through those initiatives that will come along with that, or is it just 1 investment for the future?
Scott G. Stephenson: Yes. This is Scott, Manav. Thanks for the question. So the investments we're making in aerial imagery, they really fall into 2 different categories. One is we're actually acquiring a lot of aerial images. And so, we have to pay for that, and we pay for that in 2 different ways. We work with third parties who have already sourced images. But much more importantly, we're sourcing our own images, which are much more granular and precise than what generally tends to be available. Our sweet spot is in image, where a pixel is about 1 inch to 1.5 inches. Whereas, most of what you see, for example, if you look at Google Earth, when you're looking at a building on Google Earth, a pixel is about 6 inches and not adequate for the kind of automated analysis of the image that we want to engage in. I mentioned computer vision before. That's the field of science and technology that is related to automatically extracting data from a photographic image. So, a, we have to acquire the images; and, b, we're building the capability to both house the images and the technology associated with their automated rendering. So that's the investment program. The part of it which becomes more significant, where the P&L is concerned that becomes more period expensed, is the acquisition of the images. And, yes, we definitely expect that there will be a revenue response to the images that we're acquiring. What we are working on right now is at what rate do we need to acquire the images in order to respond to what we see as the growing demand for the category. This all relates very strongly to what we do with Xactware in the repair cost estimating category. So to date, we actually do relate aerial images to all of the repair cost estimating we do in Xactware. But it's not at the level of analysis or granular detail that we're moving. And so, it's an extension of our -- it's an extension of the business that we're already in. We do generate a little bit of revenue from aerial imagery today, but we see it as a very, very substantial opportunity. So, yes, we do definitely expect that revenue will follow. But since it's a relatively new category for us, that's where the investment, particularly the acquisition of the images, may need to lead the revenue to some degree.
Manav Patnaik - Barclays Capital, Research Division: Okay. And you guys, I guess, maintained the full year CapEx. So does that mean that this will substitute some other investments, or is that subject to change once you guys do decide that you're going to pull forward these investments?
Mark V. Anquillare: Yes. Let me just take this. This is Mark. There are parts of this initiative and many others, where there's actual programming time that could be capitalized and put on our balance sheet. However, when you purchase data, it is required to be expensed. So when we talked about the CapEx numbers being relatively unchanged, I think that's consistent with what we said in the past. This, that we're calling out, actually has direct effect on the P&L because we are expensing the aggregation of images.
Scott G. Stephenson: And do let me just clarify on one thing. Mark talked about purchasing data. In the case of aerial imagery, most of what we're doing -- we're not buying it from someone else. We're actually generating the data ourselves. But it is, as Mark said, a period expense.
Manav Patnaik - Barclays Capital, Research Division: Got it. And then, one more for me. Could you -- Mark, could you remind us of -- in the past, you've talked about the seasonality on the healthcare side with, I guess, the more weighting in the second half. Any changes to that mix or, sequentially, anything that you can help us model it?
Mark V. Anquillare: Yes. Historically, it has always been a -- healthcare, as a whole, has been a 40-60 type of seasonal split. So 40% on the first half, 60% on the second. We continue to try to bring that, kind of, more in line over the course of the year. But that is just the nature of the business right now.
Operator: Your next question is from Andrew Steinerman with JPMorgan.
Andrew C. Steinerman - JP Morgan Chase & Co, Research Division: When talking about the 20% growth in healthcare -- and thank you for clarifying your goals in that segment. Is that an organic growth initiative? Meaning, is that the organic goal? And then, additionally, since you said 20% this year, 20% next year, I just wanted to ask, is it kind of a lumpy business with new customer implementations? And so, we probably could expect some volatility quarter-to-quarter, right?
Scott G. Stephenson: So, Andrew, it's Scott. So first of all, yes, we are talking organic growth rates when we're talking about the view for 2013 and the view for 2014. I'm not sure I would say lumpy exactly, but one thing that is going on in the business is, because of our growing presence in the healthcare field, one of the things that we're finding is that the size of the contracts that we're able to sign, in some cases, are becoming substantially larger than the average contract size that has to date applied in the business. And I'm talking about sales that we have secured and sales that we're very close to securing, neither of which have actually worked their way into the P&L yet. So I'm not sure I would use the phrase lumpy when talking about it in that way, but I do think that we're finding that the scale of the opportunities that were in front of us is getting bigger.
Andrew C. Steinerman - JP Morgan Chase & Co, Research Division: Okay. And also, when you speak about new customers, are we mostly talking about Medicare Advantage Plans being added or new customers a lot broader now?
Scott G. Stephenson: More broader than that. It's still the case that the lion's share of our business is with the health plans. But we've actually seen some very encouraging things happen with respect to the EA suite moving into the provider world.
Operator: Your next question is from Tim McHugh with William Blair & Company.
Timothy McHugh - William Blair & Company L.L.C., Research Division: First, I just wanted to ask on the most recent comments about seeing the bigger contracts. Is that a reflection of seeing broader solutions being adopted, kind of, all at once by the clients? Or is it that they're taking on a bigger chunk of the claims activity or some other factor? I guess, what's driving the bigger contracts?
Scott G. Stephenson: It is both. Although, I would say that the primary effect in the contracts that I had in mind with the prior comment is a deeper penetration inside of, in 1 case, an existing customer and, in another case, an entity that was not a customer previously.
Timothy McHugh - William Blair & Company L.L.C., Research Division: Okay...
Scott G. Stephenson: [indiscernible] with an existing solution side.
Timothy McHugh - William Blair & Company L.L.C., Research Division: Okay. And as we think about organic growth for healthcare, what impact does MediConnect being rolled into that overall organic growth rate have? I don't think it was growing quite as fast as the rest of the healthcare channel...
Scott G. Stephenson: Actually, MediConnect's organic growth rate is very healthy. And the fact that it has moved into the organic category is not having any downward effect on the overall organic growth rate of the group.
Timothy McHugh - William Blair & Company L.L.C., Research Division: Okay. And then, just 1 follow-up on mortgage is -- the lessening -- or the smaller pace of decline -- I guess, you talked about some newer solutions you see growing there. But did you see -- I guess, is the smaller pace of decline related to those newer solutions, or is it that the fraud piece is declining by a smaller amount? Or did the kind of origination side tick up? I guess, I'm just trying to...
Scott G. Stephenson: Well, it's really both effects. So it's how big was the forensic piece. And now, as we move towards absolutely smaller numbers and the smaller fraction of what we do, any further shrinkage in the amount of business that we're doing there just proportionately is less impactful on the Interthinx case. And then, on the other side of it, yes, these new solutions are finding their place in the market and definitely having an effect on the overall outcome.
Timothy McHugh - William Blair & Company L.L.C., Research Division: Okay. And, Mark, the 11% decline, does -- was that for the year, and does that factor in that Argus gets dropped into organic in Q4?
Mark V. Anquillare: So let me just describe the 11%. I was talking specifically about the mortgage analytics business. And what we did last year, that would be 2012 full year, the mortgage analytics business was down about 11%. What we've been saying is that the full year 2013, we think, it will also be down about 13%. So obviously, we'd be down more than that in the first quarter. And hopefully, we'll start to see some stabilization and some growth, as we progress towards the end of this year for mortgage only. That does not have any...
Timothy McHugh - William Blair & Company L.L.C., Research Division: Okay. So not that overall practice, if you will? Just that piece of it? Okay.
Mark V. Anquillare: Correct. Negative 11% for both years for mortgage.
Scott G. Stephenson: And bear in mind, again, as Mark reported, financial services overall grew more than 40% in the quarter.
Operator: Your next question is from David Togut with Evercore Partners.
Rayna Kumar - Evercore Partners Inc., Research Division: It's Rayna Kumar for David Togut. Could you talk about the specific factors that drove the deceleration of your healthcare segment from 39% revenue growth in the first quarter to 21% in the second quarter? And maybe if you can just give us an update on business trends and the growth rate of each of your 3 major businesses within healthcare?
Scott G. Stephenson: So let me start off there, and Mark may want to add something there. Let me go back to second quarter of 2012 in order to kind of give you some perspective on the growth rates that healthcare -- the organic growth rates that healthcare has been turning in overall. So you'll remember that, in April of 2012, we acquired MediConnect. There's a suite of services that we provide, which are inside of the RQI division of healthcare. And essentially, what we're trying to do is to help health plans understand the quality with which they do what they do and to relate that to the cost that it requires them to do what they do. And we do that so that companies can be viable inside of the private insurance world, so that they can be viable with respect to Medicare Advantage. But that's the essence of what we're doing over there. There was pent-up demand for those services, and one of the things that we need to do to deliver the service is to access medical records. And so, we had a method. We have methods actually for doing that prior to the acquisition of MediConnect. But there was pent-up demand for those set of services. When we acquired MediConnect, what we -- and we talked about this at length, what we created was the ability to actually process faster because of the integration of the 2 businesses. And so, we began to respond to that pent-up demand as we moved into the third and the fourth quarter and even into the first quarter of 2013. And so, if you look at our growth rates inside of health, part of what was going on was that response to the pent-up demand. So I think what you're seeing when you compare, for example, first quarter to second quarter is that, that line of business is still healthy. It's still very growing nicely. But there was a particular reaction, which we expected based upon our increased capacity by virtue of bringing in MediConnect, and that was working very powerfully last half of last year and even into the first quarter of this year. And again, it's not that the effect has gone away, it's just that there was so much demand behind the dam. We don't really talk about specifically about the 3 divisions, but I'll just say that they're all important to the performance of Verisk Health. We're looking to all of them to grow. Just 2 weeks ago, we diligence-d the pipelines for each of the 3 divisions. They're all looking very healthy. And so, we have high expectations for all of them going forward.
Operator: Your next question is from Suzi Stein with Morgan Stanley.
Suzanne E. Stein - Morgan Stanley, Research Division: About Risk Assessment growth, how sustainable is the growth in the property-specific and underwriting piece of the business? I mean, do you anticipate staying at the high end of that 5% to 7% range that you have talked about in the past?
Mark V. Anquillare: So, Suzi, let me just highlight here. I think, common things that we've seen that have been reassuring inside of the property-specific is that we've been able to transition many customers from what are transactional type of purchases to longer-term contracts with higher committed volumes. So that has been a positive. I think we've found some stabilization even inside some of the transaction volumes that were causing some ebbs and flows over the last several years. So that's sustainable. That's positive. At the same time, I think one of the things that we've called out is that we did have a contract. It was a 20-year-old contract with a technology provider that came to an end in 2012. So as a result of that kind of rearrangement -- or change in arrangement, we had benefited from a new arrangement where there's more revenue for us, and we've taken over the partners of technology because we felt it's kind of core to the service. That, in 2013, will be here, will continue into the future, but we do get some benefit from the growth over what was a different arrangement in '12. So I think a good portion of the growth continues, a portion of the growth is onetime and will continue into the future. I don't want to say onetime, but it's more of a one-time growth. Okay?
Suzanne E. Stein - Morgan Stanley, Research Division: And then, on specialized markets, I guess, that's been running in the low-single digits. Is there any reason to think that, that should start to pick up?
Scott G. Stephenson: I think that, in the near term, we are still working to essentially transform the categories that those phase [ph] meaning, the supply chain domain and the commercialization of climate science. And so, in the near term, no. In the long term, we think of them as options against really kind of building new categories that don't exist today. And we'll certainly work hard to keep you informed as we feel like we've reached those moments where we've actually -- we've created something substantially new and different. And we're working very hard at that.
Mark V. Anquillare: Let me just -- to emphasize, I mean, I appreciate the question about Risk Assessment. I'd just like to continue to kind of reinforce the fact that I think we kind of think of some of the way we go to market for both the Decision Analytics and Risk Assessment customers. They're the same customers. We're trying to sell a suite. And I think we continue to be effective there with some accelerating organic growth, kind of, across the 2 categories.
Operator: Your next question is from Andrew Jeffrey with SunTrust.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: Good to see the uptick in your insurance business within Decision Analytics. Could you talk a little bit about some of these newer solutions, whether it's Touchstone or the -- it sounds like you're in the market with that in aerial imaging, which maybe is more of a '14 event. But did we get back to double-digit organic revenue growth within that business this year? Or is that still the longer-term expectation? Or are we, kind of, at what you think is a steady-state for the insurance part of the business today?
Scott G. Stephenson: Well, I guess, I would put it this way. I -- we are excited about a number of opportunities to bring more value to our insurance customers. We are at a moment in the P&C industry where there is as much -- or more openness to technology-driven innovation in insurance as, I think, there's ever been. And I think that there's a very settled understanding now that data analytics is going to play a very important role in all of that. So we're -- we really appreciate the relationship we have with our P&C customers, and we -- it's, in many ways, a good moment to be a partner to them, given sort of how their world and, therefore, our world with them is moving. Some of the things that we're talking about, for example, aerial imagery -- just to again go back to that one for a moment, when it fully emerges, it's potentially a very large category. And so, it remains to be seen whether or not we're able to put the solutions together in such a way that they become so compelling that the full market opportunity is realized. But there's a great sense of promise there. Over on the catastrophe modeling side, to just pick another one, the businesses is becoming much more richly featured than it used to be. Basically, our customers used to be primarily interested in the stochastic models. Now equally, they are interested in the decision-support software and the ability to try to pull a lot of observations together derived from the cat modeling world and apply them even at the level of the individual risk. And so, that kind of movement, we think, naturally creates the opportunity to bring substantially more value to the customers than has been there in the past. We haven't really sort of -- a rifle shot, a number in terms of what the organic growth rate is that all of that implies. But the kinds of things that I was just talking about become material relative to the book of business that we already have. And so, we're optimistic. We're leaning into the opportunities in the P&C space.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And as far as the investment pull-forward, I know you've made some comments about EBITDA margin this year. Mark, would the magnitude of the investment pull-forwards have the same sort of impact on your out-year EBITDA margin, whereby we might see revenue growth acceleration but perhaps flat-to-down margin over next year? Is that -- are you pulling forward that much spend, for example?
Mark V. Anquillare: So I think what we would probably need to do is really think about this in terms of we're building a product today, and we wanted to make sure we have a robust product come into market because we have had customers that are excited about it. As we think about, kind of, the pull-forward that we've just talked about, a little of that has to do with, now, customer reaction and customer response. So I think the answer to your question is we have some pretty big kind of CapEx or an expense that we're kind of bringing through in the first half. We would probably continue, as we described and what we kind of hinted towards in the second half. As I get into 2014, it's a little bit tough to marry up kind of the revenue and the expense around those categories. I would see that the investment would be large. I'm not sure if it's going to be materially larger than what you'll see in '13. So from a relative margin perspective, I don't have great visibility quite yet. But I don't -- I wouldn't put margin erosion on it. I would just say we should probably maintain [indiscernible] flatter.
Andrew W. Jeffrey - SunTrust Robinson Humphrey, Inc., Research Division: Okay. That's helpful color. And one more, if I may. When you look at your healthcare -- unified healthcare platform, do you think that's an offering that can start to really move the needle for you next year? Or is this -- are we talking about a multi-year effort as far as revenue incremental revenue from that?
Scott G. Stephenson: I think you should think of it as multiyear, but I do believe the effects will -- I mean, actually, we've already seen the effects. Just to kind of recap for you, we have already implemented the unified platform for large customers in the payment accuracy division. Next up is the Enterprise Analytics, and that's a '14 deliverable. And then, we move into RQID in '15. So there are already effects, and we will see more effects in '14 than we have in '13. But it is -- it's a multi-year march. So it's kind of both, really. We will begin to see more and more benefit. I think that it's really when the entire suite has been enabled that the promise of being able to go to the customer and say, "Would you like us to turn this on for you?" is really -- I think that's when we're really there. And the third of the 3 divisions is a 2015 deliverable on that plan.
Operator: Your next question is from Paul Ginocchio with Deutsche Bank.
Paul Ginocchio - Deutsche Bank AG, Research Division: Earlier, you said about some of the contracts in healthcare hadn't -- aren't fully up to speed yet. You've just signed them, and you've [indiscernible] larger. So as you look at your comment -- we go back to your comments about the 20% growth this year and next. Could you just maybe give us some of the assumptions behind that? How much is some of those new contracts you won just coming up to speed? How much are sort of other contracts you've won kind of scaling up or what's new contracts or new clients?
Mark V. Anquillare: Sure. I think one of the things that we tried to highlight is that it has been a very good new sales year for the first half of '13. But the way customers adopt and implement, it's not always they can go right away. So we may pick up a little bit in '13, but a lot of these things are actually priming for and looking towards 2014. And in large part, because of the nature of this 40-60 revenue split, a lot of it does actually hang on the latter part of the second half of '14. The other thing that we've tried to, at least, mention a little bit, we've had -- some of these contracts for customers have come to us, and they've said, "Let's have a conversation about us giving you bigger volumes and longer-term commitments. Is there a way to marry up kind of some price with these longer commitments?" And we're willing to do that for the right customers and for the right type of volumes. And all of that kind of plays out in a way that probably helps us in '14, and it certainly kind of impacts kind of the way we think about into the future and beyond.
Paul Ginocchio - Deutsche Bank AG, Research Division: So I guess, if I heard you correctly, you're just communicating that your visibility is better based on some of these changes you're talking about?
Mark V. Anquillare: Agreed. I mean, I just can't get into the details of contracts except that we're feeling very good about the pipeline, and it's more of a '14 type of new sales win where we see revenue.
Operator: Your next question is from Jeff Silber with BMO Capital Markets.
Jeffrey M. Silber - BMO Capital Markets U.S.: Step back and focus on the insurance portion of the business. Can you just clarify what impact any changes in insurance premium growth has on your business and when that would occur?
Scott G. Stephenson: Yes. Can I -- let me talk about it generally and then maybe Mark would like to talk about where we are in the premium environment right now. But the thing that we would like you to understand is that there is nothing even close to a 1:1 relationship between what's happening in the world of insurance premiums and our revenue picture. And that's true for a couple of reasons. First of all, something like 40% of our insurance revenue references, in some way, what's happening with respect to premiums. Meaning, inside of our pricing algorithm is some reference made to premium volumes, only about 40% of our revenue is priced in that way. And of that 40%, there are 3 terms in the pricing algorithm. So there's the premium, there's a mill rate that we attach to the premium and then there's a flat fee. And we are annually assessing the 2 terms in that equation that we are responsible for, which is the mill rate and the flat -- and the flat fee. And we're very thoughtful about what we're doing with both of those. And so, it's not the case that there's a linear relationship even in that 40% between where did the premium move year-over-year, where did our revenues move year-over-year. There were actually several years where there was negative premium growth. Recently, several years where there was negative premium growth in the industry, and yet our revenues actually grew. And then, on top of all of that, I would go back to the point that Mark made a couple of minutes ago, which is we think of everything that we do in insurance as a relatively integrated whole. And so, when we think about setting the terms in that pricing algorithm, we have it very much in mind that we want to preserve and extend the opportunity to sell the other parts of our suite, which are not priced that way. And so, what I really want to strongly move you away from is a sense that the premium environment is strongly -- or, I would say, even modestly affecting what our business is doing. Mark, do you want to comment on kind of where we are right at the moment?
Mark V. Anquillare: As an example, I know that there's been some better news with regard to premium growth inside of 2012 relative to, say, 2011. The way we operate in a loose affiliation, 12 premiums would relate to some of our invoicing in 2014. But I will kind of reemphasize Scott's point. What we're trying to do is make sure that there's value to customers, and the customers are looking at the bottom line, how much the invoice is. And we want to make sure that that's fair. We want to make sure that, that is well thought of, so that we can sell other services and other solutions typically from the DA suite to them. And that's the long-term relationship building and the best way for us to win in the long term.
Jeffrey M. Silber - BMO Capital Markets U.S.: Okay. I appreciate the clarity. And then, on a different tact. I know you don't do a lot of government business, but if you can just remind us roughly what your exposure is to government business? And did you see any impact from sequestration last quarter?
Scott G. Stephenson: Sure. Government business is rather modest. It sits inside the specialized -- inside of '13, it probably hurt us to the tune of $2 million to $3 million in '13 -- or will hurt us.
Operator: [Operator Instructions] Your next question comes from James Friedman with Susquehanna.
James E. Friedman - Susquehanna Financial Group, LLLP, Research Division: This is Jamie Friedman. 2 questions, 1 for Scott and then for Mark. First, Scott, I was just wondering, financial service, obviously, had a good print. I was wondering if you had any comments on the up-selling characteristics going on within financial service now? And then, moving over to Mark. Mark, if you could comment about the Risk Assessment margin, and your updated guidance was helpful. But specific to Risk Assessment, how we should think about the contribution margin, if you will, longer term? So first on financial service, then on Risk Assessment margin.
Scott G. Stephenson: Yes. The deeper penetration of existing customer relationships is a very important theme inside of what's going on in financial services. If I look at the business we do with the retail banks around the credit card line and demand deposits, essentially, up-selling is a very major part of what's happening in that business. And it's really -- and it continues to move through 3 levels. So the first level is the thing that we just love to do at Verisk, and that is build the contributory data set and create an industry-level set of Analytics around that contributory data set. And that's how the whole business got started. The next level then is to take the analytics derived from that and to find ways to apply them more precisely on a customer-by-customer basis. And so, that's the first level of up-sell that goes on. What we found is, even beyond that, we have created such a good analytic environment for retail banking analysis that, at the third level, we actually have a growing number of customers that, actually, in addition to purchasing level 1 and level 2, they also actually want to purchase the analytic environment. They want to license the analytic environment from us, which is, in no sense, cannibalizing what we were doing at the other levels. And so, that really is the story of what's going on with respect to those product sets inside of retail banking, and it continues to be a very important part of the growth that is occurring there. In fact, not -- there's -- we are acquiring new customers partly because that part of our business is actually finding its mark in overseas markets. But if you look at, for example, the United States market, a fair fraction of our growth is moving up that cross-sell ladder from the first stage to the second stage to the third stage, and that continues.
Mark V. Anquillare: Let me jump over to the Risk Assessment. I think what we continue to find promising is Risk Assessment does turn out very nice and stable growth to the extent that, that growth is kind of the above the cost of generally people. We've been able to have some high incremental margins on that business. The operating leverage is strong, and I think we feel very good about that. The one thing I wanted to just highlight, though, is that when we talk about investment, it is across the entire enterprise. And we have high expectations for Risk Assessment around trying to find new opportunities in markets too. And inside that, they have investment initiatives that should certainly be a part of all of this and be considered in. So what you saw in the second quarter was some strength. Remember, a bit of it was the result of the way we recognize expense around options. So if you compared second quarter of '13 to '12, that is -- that piece is a one-time effect. And I just want to caution you to just remember that as you do comparisons from '13 to '12. There is a bit of one-time amount in there.
Scott G. Stephenson: Hopefully, Jamie, that was responsive to your 2 questions.
Operator: And there are no further questions at this time. I will now turn the call over -- back over to Scott Stephenson.
Scott G. Stephenson: Thank you very much. And I just like to thank everybody for joining us for our second quarter earnings call here today. We appreciate your interest and your support, and we look forward to speaking to you again at the conclusion of the next quarter. Thanks very much, and enjoy your day.
Operator: Thank you for joining today's conference call. You may now disconnect.